Anders Runevad: So, good morning everyone. And welcome to the Third Quarter Report and also the Update – Upgraded Outlook for 2013. The agenda today is that I will start with the introduction, our CFO Marika Fredriksson will talk about the financials. I will come back and talk about order intake and outlook. And then we have time for Q&A. So, let me start with a short introduction. This is my first quarterly report. I’ve now been with Vestas for two months. And I’ve had opportunity to meet people from the different part of our operations both in Denmark and abroad, I met several or all key customers. And start to get an understanding of both of the company, the market and very importantly, what the customer thinks about the company. At the same time it’s absolutely right that we keep focusing on the turnaround plan. And that brings me naturally to today’s topic which is about Q3 and Q3 report. As I said, to deliver on Vestas in turnaround plan is very important for us. And to recap a bit three key objectives. Reduced costs and we see further reduction in fixed capacity cost during the quarter, lower the investment level and here we also see good progress in the quarter. We haven’t shaped our investment level overall despite the fact that we continue through the statement here with development 164 8-megawatt platform and we have also introduced a new variant to be 105 3.3-megawatt for high wind sites. Another important event in the quarter, we proposed the joint venture with Mitsubishi, which has the limited effect this year but of course will reduce the need for investment in the future into the offshore segment. Third key objective is to improve capacity utilization and capital efficiency. And we have a quarter again with good improvement in net working and capital. We have one efficiency divested or machining costing unit and that’s creates more flexible manufacturing footprint and a better efficiency. And I will come back to some updates. Looking at the fourth target then, overusing our fixed cost. We are well on track over saving to the two year objective with cost saving about €400 million and close – it’s closely linked to a number of employees. We’re today then in November, where we think to inter-count the divestment of the machining and costing unit of 16,200 people. And our overall objective for the end of the year maximum of 16,000 people remains. It of course means that we really in that frame can and will scale up and down in certain parts of the operation but we maintain our overall objective. I mentioned lower CapEx, and lower sale amount net investment has been lowered by 53% compared to a year ago. And also in this quarter and we have maintained a lower level. That is then despite the fact as they said we are continuing first team ahead with the 164 8-megawatt development. And as we have during the year released several new product base on our 2-megawatt and 3-megawatt platforms. So, the strategy is two folded in order to reach lower CapEx on the manufacturing side we use the global footprint that we have and have established make that more efficient. We don’t see a need for further investment in manufacturing. On the R&D side, we are utilizing the platforms we have and do variance on that which require a lot lower capital investment compared to new platforms. That brings me to another important event during the quarter. And that is the creation of the joint venture for offshore together with Mitsubishi Heavy Industries. To recap a bit, the key contributions from both companies, from Vestas we put in our existing offshore business. The development orderly 164 8-megwatts and it relates to technology and also to be 112 offshore order backlog. And on the turbine side, Vestas will continue to produce and stay notably 112. From Mitsubishi side, it’s a payment of €300 million divided into two parts. And in the action of €100 million and then anther reaction of €200 million based on certain milestone achievements within the natural development of the 364. And of course the know-how and experience that Mitsubishi have from both the technology side long standing position in the power markets. All-in-all, I’m confident that we create a strong company for the offshore market and that we together can address a much bigger market than either company could have done by standing alone. Looking at further capital efficiency and capacity utilization, we see an improved net working capital during the quarter, driven very much by an improved cash conversion. We see we have room in Q4 for further improvement. We have 2,444 megawatt under completion as it stands in the end of Q3. When it comes to capacity utilization, we have divested two machining factories and four costing units that will lower our cost, through costly components by around €30 million over the next two years and with a further potential into the future. There is another element of Vestas of up to €25 million. But also more important, it fits well with our strategy to create a more asset light company and to have a more scalable manufacturing footprint. During 2012, Vestas did review of our manufacturing footprint based on market needs and closeness to the market. We have seen going from 31 factories to 19. And at the same time maintain a global footprint to make sure that we have presence in all parts of the geography that we are scalable and that we achieve a better utilization. So, please Marika, join me do the financials.
Marika Fredriksson: Thank you, Anders. If we have a look at the shipments and deliveries for the quarter, you can see us, we expected and as we communicated earlier, there is a pick-up on the shipment side in the quarter. The deliveries are lower compared to last year and that of course leads us into the P&L and the return revenue by. This has been compensated with what we have highlighted earlier, a reduction in the fixed capacity costs and thereby giving a positive EBIT in the quarter despite a reduction of 27% on the revenue. If you look at the more detailed description of what has happened in the quarter compared to Q3 of last year, you see that we have compensated the 27% drop by better margins but also lower fixed capacity cost. We should say here though that Q3 of last year was on the margin side not a very impressive quarter but the fact remains that we have continued to reduce the breakeven for Vestas by lowering the fixed capacity cost. Coming back to the cost again, we communicated also in the last quarter that the positive development continues but we’re also expecting this to plateau as we’re coming to an end on the turnaround plan in Q3. The special items are mainly related to non-cash items. And here is mainly the write-downs on the casting and machining factories that has also been communicated earlier so that is the main portion of the special items in the quarter. Service is down compared to last year but year-to-date we are satisfied with the performance of the service business. The two most important things to highlight here is that the earnings and the revenue can vary depending on the contracts we enter into quarter-over-quarter. And we also see the pattern here – there are fluctuations. But we still consider this a very stable business in Vestas. We should also note here that when Anders comes back to the outlook, we have upgraded the guidance on the service business. The balance sheet, the most important two improvements are the improvement in net working capital year-over-year by close to €600 million, €598 million to be precise, and also the reduction of the net debt by €560 million or €559 million in the quarter. You see also there is two big items on the assets held for sale, and also the liabilities held for sale and this is mainly related to the joint venture with Mitsubishi. And you can see more in details, I would just like to highlight here that the net impact on the balance sheet is €166 million and this of course wants the – all the work around the agreement with Mitsubishi is finalized at the end of March next year, this will no longer be on our balance sheet. The change in net working capital is year-over-year, a big in Vestas I’d like to say here that we have managed to reduce the net working capital in quite a bit this quarter. And this is normally when we build up to a larger extent. We have also improved quarter-over-quarter although not as significant as year-over-year but still a good improvement for Vestas. If we look at the warranty provision, it’s not actually much to say around the LPF. I would say it’s continuing at a satisfactory level below 2%, so, overall a good performance of the company. Cash flow, you see the change in 98, it’s in tune of the net debt by €560 million year-over-year. And this of course is a consequence on the focus on the net working capital and thereby cash flow. We have also reduced a net debt to EBITDA by down to 1.4%. The ROIC is still and as we have highlighted and communicated at an unsatisfactory level, worth noticing though is that due to this year we have improved the ROIC and that’s the consequence of the improved earnings for the company. We should say here, we have a lot of focus on improving. And the two improvement areas is really earnings and better use of our capital. And so focus on the net working capital CapEx and basically what we have been doing under the turnaround plan. So, thank you. And thereby I leave it to you Anders.
Anders Runevad: Thank you, Marika. So, looking at the order intake, Vestas have leveraged our global footprint and our strong offering to secure orders in Q3. Orders are almost four times as high as in Q3 last year but of course that was an exceptional weak quarter. So that comparatively is a little bit less relevant I must say. On the other hand, we are satisfied with levels of the 1,547 megawatts. And also important is that we secure significant orders in the U.S. of 540 megawatts and that is further 5% of the orders in Q3. Looking at price per megawatt, that decreased 3% compared to year-on-year, compared to Q3 2012. But then of course we should remain about – the price per megawatt depends on the number of different factors. And wind turbine type, the geography and the scope of the contract and of course the uniqueness of the offering. And in the quarter, we had a large proportion of supply only contract primarily from the U.S. market. That brings me down to the backlog. And for wind turbines, the backlog increased with €7.2 billion, up €7.3 billion during the quarter. And as I said, we had firm order intake of 550 megawatt in the U.S., so, a significant order intake. We have also additionally a potential to 1.2 gigawatts in the U.S. mostly supply agreement that we have announced during the quarter. Looking at service, the backlog in services also increased with €7.2 billion to €6.1 billion. As we can say, we’ve had a steady growth in service. And the last 12 months the backlog has increased with €1.2 billion. The average length for the service contract is about 7 years and we continue to have a high renewal rate. So all-in-all, the backlog stands at €13.4 billion which is an increase in the quarter with €400 million. We have also updated our outlook for the full year. And probably most my commencement to service probably the most interest is of course of the EBIT margin. So looking a bit forward then, I’ve been with the company now for two months. And as I said, I’ve met a lot of customers and people from the organization. Vestas has some very, very important key assets. We are the market leader with the global presence. And I see that we can get even more leverage of our global reach of our scale and our installed base. We deliver world-class wind turbine services and off the market services. And of course we need to continue our relentless effort to get cost of energy down in our products and offering. At the same time, we are delivering the service business and here I think that we can do even more in the future by bringing new and innovative solutions to the market. However, let me be very clear that our first priority is to execute on the turnaround plan. And improve the earnings and the cash flow of the company. And that remains our focus for 2013. We are now in a very busy Q4 with a very high activity level. And we are all within Vestas focus on delivering in Q4. Therefore, I will come back to you with our views of next year and the future. And I will do that in February of next year following the strategic planning process that we have within the company. Marika, please, join me. And operator, if you could please open for questions.
Operator: Thank you. (Operator Instructions). Claus Almer from Carnegie is on the line with the question.
Claus Almer – Carnegie: Hi, and congratulations on a very stronger Q3 report. I have two questions. The first one goes about our orders that you delivered in Q3 and therefore was recognized as revenue. Would you characterize these projects – that’s being normal for those projects you had in your order backlog? That would be my first question.
Marika Fredriksson: I would say that what we said in Q1 is that, as on those projects were not representative for the full year. And consequently Q3 is more representative for what we see for 2013.
Claus Almer – Carnegie: But also for the full order backlog?
Marika Fredriksson: They are more representative, yes.
Claus Almer – Carnegie: Okay. Then, my second question, that’s about your cash flow guidance for 2013. Is there any impact from the creation of the JV in that?
Marika Fredriksson: No.
Claus Almer – Carnegie: Was that all expected in 2014?
Marika Fredriksson: No, there is no impact on the upgrade on the guidance from the joint venture.
Claus Almer – Carnegie: So that’s truly operational driven.
Marika Fredriksson: Correct.
Claus Almer – Carnegie: Thank you so much.
Operator: Patrik Setterberg from Nordea is on the line with the question.
Patrik Setterberg – Nordea: Yes, hello. My first question is with service business. First nine months just going forward to growth back or will the growth come back to double-digit numbers which we have been used to in the past?
Marika Fredriksson: What we have said is we’re obviously upgrading the earnings for this year. Anything beyond this year we will get back in February of next year.
Patrik Setterberg – Nordea: But let me phrase it on a different way. Are you satisfied with the 5% earnings or revenue growth for the first nine months?
Marika Fredriksson: We’re very satisfied with the service business overall year-to-date. Yes.
Patrik Setterberg – Nordea: Okay. My second question is regarding your order intake in United States. In the Q2 report, you said that you expect a significant pick-up in order intake from United States. However this comment is not in your Q3 report. I was just wondering have you realized all your American orders or is there more orders in the pipeline going forward?
Anders Runevad: No, as I said we got 540 megawatts in Q3 as a significant order. And as I also said we additionally have talked about it, we have firm agreement of 1.2 gigawatts. And of course that is also significant. When it comes to orders, we’re seeing more.
Patrik Setterberg – Nordea: But what is your general outlook for orders in the United States, just overall market-wise?
Anders Runevad: Now, we feel that we have good position in the U.S. We feel satisfied with our share in the U.S. and I will not speculate on additional order in Q4.
Patrik Setterberg – Nordea: Okay. Thank you.
Operator: Daniel Patterson from SEB is on the line with the question.
Daniel Patterson – SEB: Yes, hello. Yes, I have two questions. First of all on your free cash flow outlook. You mentioned that it’s driven on a lot different lines but my question is really – has something happened in the last three months that drove €700 million of Euro improvement or is it more like the risk on the overall year cash flow outlook has now decreased? So that’s my first question.
Marika Fredriksson: Yes. I think you answered actually the question with your last question. We are of course coming closer to the year end and have more visibility and overall performance and thereby what will happen now going forward in Q4. So, in the activities we have now to contribute to the improved cash flow is very clear to us. So, it’s CapEx, it’s the EBIT and also the focus on the working capital.
Daniel Patterson – SEB: Okay, that’s clear. Now that leads me to my second question on net working capital. Net working capital for this year, the recent nine months to date is reduced by about €350 million. Now, this is again driven by various things, higher payables and different things. But, my question is, is this mainly really driven by the lower revenue because nine months revenue is down 21% and you should expect a net working capital release or is it more driven by let’s say sustainable permanent improvements in the level of working capital?
Marika Fredriksson: Of course revenue will always have an impact on the net working capital. But I think if you look at the activity level is increased now in Q3. And we still manage the working capital in a very good way.
Daniel Patterson – SEB: But just to be, I mean, you’re mentioning that basically it’s – the answer is both sides but this goes also to playing to the future that once growth comes back, I’m assuming it’s going to be very difficult for you to let’s say keep this level of working capital. Is that true?
Marika Fredriksson: We have – we are satisfied with the performance so far and we’ll continue to focus in the initiatives we have. So nothing from that perspective has changed. So the focus will remain on keeping the net working capital at a good level. And if you look at it, if you look at megawatt under completion, there is still room for improvement.
Daniel Patterson – SEB: Okay. Thank you very much.
Marika Fredriksson: Thank you.
Operator: Sean McLoughlin from HSBC is on the line with the question.
Sean McLoughlin – HSBC: Yes, good morning. I had two questions. Firstly, just around the risk to Q4, clearly you’ve highlighted in the release because of the way that you recognize revenues. There is obviously some execution risk that is partly out of your hands. Do you feel this is fully represented now in the range of free cash flow that you’re guiding for the year? And secondly, on the service business, the margin before allocated to group cost, I mean, what is the reason why you don’t guide to a clean bit margin here and what would that be?
Marika Fredriksson: To answer your first question. There is a very high activity level in Q4. And there with the guidance that we’re now providing, we of course feel more comfortable with the uncertainties in the Q4 and that we have captured obviously in the cash flow range that we have given. And the second question referring to the service business, we have – we are again as I said very satisfied with the performance so far. And we have upgraded the guidance for the full year in terms of our earnings on the service business.
Sean McLoughlin – HSBC: But the reason why you don’t split out, you don’t – it’s guide to a clean margin. Is this to do with some uncertainty in the allocation of the cost?
Marika Fredriksson: No. I think the – what we have chosen to guide for this year remains. And anything beyond the 2013 we will get back to in February of next year.
Sean McLoughlin – HSBC: Thank you.
Marika Fredriksson: Thank you.
Operator: Klaus Kehl from Nykredit Markets is on the line with the question.
Klaus Kehl – Nykredit Markets: Yes, hello. Klaus Kehl from Nykredit Markets with a question, and it also relates to your cash flow and your net working capital. I know it’s maybe a bit boring but any way, your net working capital has obviously improved quite a lot and that’s very positive to see. But I was wondering if we don’t talk about the absolute level of net working capital but talk about it in a percentage of sales. Would you then think it would be reasonable to expect a negative net working capital to sales going forward or could you – yeah, could you manage to be either negative or around zero. Because that, if you compare it to other companies that they normally have net working capital of let’s say 5% to 10% of sales?
Marika Fredriksson: Where we’re coming from, we have not been satisfied with the net working capital performance. Therefore, we have initiated a lot of activities to improve and consequently improve the cash flow for Vestas. We see room for further improvements what percentage that would lead us to going forward is again a question for next year. I think overall, you will always see fluctuations in the quarter for business site hours when it comes to net working capital. The most important thing is that we have a good situation and have improved during the year and also improved in a quarter where activity level has increased.
Klaus Kehl – Nykredit Markets: Okay. But then a follow-up question. When you see room for further improvements, is that in absolute terms or is that in net working capital to sales?
Marika Fredriksson: What we have spoken about is in absolute terms and in particular on the megawatt under completion.
Klaus Kehl – Nykredit Markets: Okay. Thank you very much.
Marika Fredriksson: Thank you.
Operator: Roland Berger with CL Partners is on the line with the question.
Roland Berger – CL Partners: Good morning.
Anders Runevad: Good morning.
Marika Fredriksson: Good morning.
Roland Berger – CL Partners: You have commented in your annual report – your quarterly reporting that you’re starting to expect good parity for onshore win in Europe. What is the Vestas expectation, can you bring cost down to that level. And what would be good parity for your like levelized cost of energy would that be?
Anders Runevad: That’s a very big question, and it’s hard to into today. But I mean, if I give you an answer I think that in we see already today in certain markets, certain conditions that we actually are no good parity. And that is then dependent on many, many different factors. And probably require us to set by them. So but today we see that we are in great parity in several markets. But of course our drive to lower our cost in our product and services continued to get that bulk of the market even bigger than today.
Roland Berger – CL Partners: Do you have some estimate what is your levelized cost of energy for onshore in 2015 for good sites?
Anders Runevad: No. As I said, we would come back to how we really view them and therefore our priorities and strategic objectives in February next year.
Roland Berger – CL Partners: Okay. Thank you.
Operator: Lars Heindorff from ABG is on the line with the question.
Lars Heindorff – ABG: Yes, good morning. My question regarding pricing in the market, I don’t know if you could give us a bit of a fuelling for how pricing has been during the third quarter in particular for some of the new (inaudible). Maybe if you can add a bit of a sort of clips on that various group increase the job rating?
Anders Runevad: I think overall revising has been uncommon.
Operator: Clemens Bomsdorf from Wall Street Journal is on the line with the question. Clemens Bomsdorf, please go ahead and ask your question.
Clemens Bomsdorf – Wall Street Journal: Yes, can you hear me?
Marika Fredriksson: Yes.
Anders Runevad: Yes.
Operator: Clemens, you’re through now.
Clemens Bomsdorf – Wall Street Journal: Yes, you can hear me, okay perfect. There was some technical problem seems to me. Okay, so given the joint venture with Mitsubishi and increasing impotency of the service business. How will the relative impotency of these two look like in the long term? The second question and recently what are doing differently compared to the former CEO?
Anders Runevad: Can you repeat your first question, the relationship with our service business and offshore business are?
Clemens Bomsdorf – Wall Street Journal: Yes, exactly. How will the relative impotency of these segments develop in the longer run?
Anders Runevad: Yeah, I think really that is the question also we have to come back to in February. I mean, generally speaking of course we have just announced joint venture on offshore. We are confident that we get that company established in March. And then of course we will talk much more about also the prospect for the joint venture. When it comes to the service business, as I said, I think it’s very important part of the Vestas. The onshore business it’s a business that is stable and we are happy with the development and it’s a business that we intend to develop further.
Clemens Bomsdorf – Wall Street Journal: One follow-up question. That one, having said, it’s very important for the onshore business. What potential does it need for the offshore business to service?
Anders Runevad: No, it’s also across services we also be an important part of the offshore business for sure.
Clemens Bomsdorf – Wall Street Journal: And then my question as the new CEO, what are you going to do differently?
Anders Runevad: I will come back to that in February in much more greater detail. For now, I’m extremely focused on delivering on the 12-round program and closing this year as well as working on the outlook for the future.
Clemens Bomsdorf – Wall Street Journal: Thank you very much.
Operator: (Operator Instructions). Alok Katre from Société Générale is on line with the question.
Alok Katre – Société Générale: Hello.
Marika Fredriksson: Hello.
Alok Katre – Société Générale: Hello, yes, can you hear me clearly?
Anders Runevad: Yes.
Marika Fredriksson: Yes.
Alok Katre – Société Générale: Yes, thank you. I have two questions, one obviously again coming back to the net working capital and in particular inventory, the megawatt up between June and September. I just wanted to get a sense of what we should expect for the year and in terms of the next few months going ahead. And as a related thing, is the trimming of the shipment guidance related to this sort of objective to reduce megawatt in the construction?
Marika Fredriksson: Okay. If I answer your question regarding megawatt under completion we will not give you any indication on where we will end up. I think worth noticing is of course that we have improved our net working capital position despite a ramp up now in Q3, as you can see on our shipments as they are increasing from Q2 to Q3. So, as expected more or less in line with last year. And the last question on the trimming, can you please repeat that?
Alok Katre – Société Générale: Yes, just wanted to – is the trimming of the shipment guidance to 4.5, gigawatt, is that linked to the objective of reducing megawatt under completion or is it something completely different?
Marika Fredriksson: No, I mean, of course our focus is to – is on revenue and delivering on revenue. And another focus is to reduce the megawatt under completion. So this I would say even if they are – have correlations the two, they are two different focus areas.
Alok Katre – Société Générale: Okay, okay. And then second question in terms of the service guidance, you have a revue guidance implies for Q4, it implies fairly strong pick-up in revenue growth and also in margins. So, could you offer any color in terms of what should drive the sequential development in Indian services, or versus the first nine months?
Marika Fredriksson: I think that what I alluded to in my presentation is that you will have fluctuations quarter-over-quarter in the service business depending on what type of contracts. With what we know now, we feel comfortable with the guidance that we have provided.
Alok Katre – Société Générale: Okay, thank you.
Marika Fredriksson: Thank you.
Operator: Fasial Ahmad from Handelsbanken is on the line with a question.
Fasial Ahmad – Handelsbanken: Yes, Fasial Ahmad from Handelsbanken Capital Markets with three questions. And the first one relates to your CapEx guidance and can you please try and explain what has triggered this downward revision of your CapEx guidance. Is it projects which have been delayed or have you actually just tucked some projects away? And that was the first question. The second question basically relates to your earlier comments about project margins and how one should think about them going forward in – both in terms of Q4 and in fact beyond that. In the Q2 report you mentioned that you expected project margins to be higher in Q4 than Q3. Is that still the case or maybe you can try and comment on that? And the final question, it really relates to cost structure and it’s very top down question. I mean, are you happy with your current cost structure. You’ve done a lot but are you happy with what your variable costs are, are you happy with your fixed costs? That’s all.
Marika Fredriksson: Okay. I got the operating margin and the cost structure. Can you please repeat your first question?
Fasial Ahmad – Handelsbanken: The first question was basically related to your CapEx guidance. You’re taking that down from €150 million to €100 million. What is the driver behind that?
Marika Fredriksson: Okay. So, I think what we can see is up to now we have not consumed a lot of CapEx. And again, we have more visibility on where we will end. So I would say that the consumption of the CapEx in the latter part of the year. So it’s not like we’re postponing. We will make investments in – on the products or on the upgrades on the products, in particular modes in Q4. Your second question relating to margin, what Anders was alluding to earlier, we see more stable margins in Q4 and we expect as we also have communicated it to peak in Q4 of this year. And beyond that we will come back again in February. And your last question regarding cost structure, the turnaround program that we have now and what both Anders and I have highlighted in terms of fixed capacity cost, we have driven them down quite significantly under this program. And of course cost as for any other company will be a continuous focus for Vestas.
Fasial Ahmad – Handelsbanken: So, just a clarification question here again Marika. It’s really related to my second question and project margins. I mean, on the Q3 level you commented explicitly that project margins were going to be higher in Q4 than Q3. Is that still going to be the case because due to leverage, Q4 margins should be increasing sequentially? But will you also be increasing due to project margins?
Marika Fredriksson: And again, yes, we expect the margins to peak in Q4.
Fasial Ahmad – Handelsbanken: Okay, thank you.
Marika Fredriksson: Thank you.
Anders Runevad: Okay. So, operator, could we have the last question please.
Operator: Yes, thank you. The last question comes from Claus Almer from Carnegie.
Claus Almer – Carnegie: Yes, hi, just a follow-up question. EBIT margin guidance has now been raised to minimum 2%. But the low point is still below the 3.7% threshold for the covered bonus. What will be your answer be if an employee was asking about the possibility of finally receiving a bonus? That’s the question.
Marika Fredriksson: Okay. So we have given a guidance of minimum 2% and again, a minimum 2%. So we are of course striving for further improvements on that and to get into the bonus territory. We have not given up on that.
Claus Almer – Carnegie: Can you say anything about there is a big difference between doing 2% or nearly 4%. Is there any major events that could happen in Q4 that would take you to 4% or is it more about the skill of?
Marika Fredriksson: I think then it’s a highest to bring us high EBIT as possible for Vestas.
Claus Almer – Carnegie: Okay. Thank you, and I’m pleased with, pretty happy about that answer. Thank you so much.
Marika Fredriksson: Thank you.
Anders Runevad: Thank you. Okay, so that concludes this session. As I said, I’ve met lots of stakeholders to the company. I look forward to next couple of days and talk and discuss to get your views from the investor side. So thank you very much for today.